Operator: Welcome to the Advance Auto Parts Second Quarter 2016 Conference Call. Your lines have been placed on listen-only until the question-and-answer session of today's call. [Operator Instructions]. This conference is being recorded. If you have any objections, you may disconnect at this time. Before we begin, Zaheed Mawani of Investor Relations will make a brief statement concerning forward-looking statements that will be made on this call.
Zaheed Mawani: Good morning and thank you for joining us on today's call to discuss our second quarter results. I'm joined this morning by Tom Greco, our CEO and Mike Norona, our Chief Financial Officer. Tom and Mike will open the call with prepared remarks regarding the quarter and will be available to answer questions. Before we begin, I would like to remind you that our comments today contain forward-looking statements we intend to be covered by and we claim the protection under the Safe Harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address future events, developments, or results and are subject to risks, uncertainties, and assumptions that may cause our results to differ materially. Our comments today will also include certain non-GAAP measures including certain financial measures reported on a comparable or adjusted basis to exclude the impact of cost in connection with the integration of General Parts International and the recurring amortization of General Parts’ intangible assets. Please refer to our earnings press release and accompanying financial statements issued today for important information and additional detail regarding these forward-looking statements and the reconciliation of the non-GAAP measures referenced in today's call. The company intends these forward-looking statements to speak only as of the time of this conference call, and does not undertake to update or revise them as more information becomes available. Now, let me turn the call over to Tom.
Tom Greco: Thanks Zaheed and good morning everyone. And welcome to our second quarter conference call. I joined Advanced Auto Parts four months ago and I am even more energized today than I was when I started. We are conducting a deep dive into our business to fully understand the challenges we faced over the past few years. I am finding many areas for significant improvements based on actions and strategies that are well within our control. I have no doubt we will address these challenges. In fact we’re developing a long-term strategy to put this behind us, to accelerate growth, and to drive profitability. We need to always put the customer first. This is essential to drive growth. We must earn and retain the trust of our customers which can only be achieved through outstanding service every single day, every single time. As you saw from our release our comp performance in the quarter was a disappointing negative 4.1%. These results are certainly not acceptable given our potential. They are in line with the near-term expectations we provided last quarter. This is in part because we have been spending our time working on the real changes required to put us in the leadership position we expect. We’ll execute better with more accountability in the near-term. In parallel we’re working on material and significant change for the long-term, specifically identifying issues and opportunities while creating a sound winning strategy for Advance which we can execute flawlessly. We know we have work to do. I remain extremely confident in our ability to address the current challenges we face which largely have been self inflicted. In terms of profitability our adjusted operating margin rate of 10.8% and adjusted EPS of $1.90 reflect the impact of lower than expected gross margin performance in the quarter, higher supply chain expenses, and operating deleverage. There were a couple of drivers of sales and profit performance in the quarter. First of all, our customer service metrics were just not where we need them to be. In Q2 we conducted significant primary research with both our commercial customers and DIY consumers. We now know in excruciating detail what's important to them. We know where opportunities exist to better serve customers for Advance as well as for our competitors. Of course consistent product availability is at the very top of the list. It is table stakes in our business. Our performance against the availability metrics that matter to customers were just not where we need them to be and that cost us in Q2. As in Q1 we experienced availability challenges in several key markets. There are clear areas for improvement here and we’re addressing them today and we know that they are fixable. At the same time while inventory was down slightly on a sequential basis over Q1, inventory still grew 7.3% over last year. As indicated on our Q1 call, inventory growing faster than sales without the requisite improvement in availability is inconsistent with our objectives. We have dedicated a team against this challenge and they are focused on ensuring the improved inventory productivity and consistency of product availability, while improving working capital and ROIC going forward. Secondly, another factor in our P&L flow through in Q2 was a sizable insurance adjustment. Mike will explain this in a few minutes. Finally, our performance in the quarter was disproportionately impacted by results in the North East in Great Lakes region. In retrospect we just didn’t adequately plan for a transition to daily replenishment in these markets. We moved too far too fast significantly burdening our DCs with unnecessary complexity over the past few months. And we didn’t sufficiently prepare our DC and field leaders for the substantial changes we’re asking them to execute. Not only did this materially increase our supply chain cost in the quarter this initiative negatively impacted our fill accuracy in the North East. As a result the stores that were being serviced by these DCs were actually experiencing much worst availability as a result of the move to daily replenishment. Obviously increasing cost and complexity with inconsistent availability is just not acceptable. Since my arrival in April, we have been intensely analyzing our supply chain and distribution processes. And we’re currently working on near and long term changes to improve order and fill accuracy and ultimately availability to best in class levels. What's most important to customers is the reliability and consistency of our service. They have to be able to trust us to have the right part at the right time. Therefore our primary objective is to provide best in class service to our customers by delivering high quality, great value parts accurately, reliably, and consistently exactly when our customers need them. That is the goal. DC to store delivery frequency is not our goal. We have been carefully analyzing our asset base and processes and we are confident we can leverage our assets in a manner that enables us to efficiently deliver best in class customer service while lowering cost and the inventory. The great news is we are already seeing a positive impact on our performance from the initial steps we have taken. And we absolutely expect to see improvement in customer service metrics and inventory reduction in the second half of the year in these markets. I have no doubt we can do a much better job leveraging our assets in order to provide the best service for our customers while producing the best returns for our shareholders. To sum up Q2, we are not where we need to be. I know that and my team knows that. There is a heightened sense of urgency and accountability at Advance and we will drive it throughout the organization. Given where we are we do not expect to turn our performance around overnight. We simply can't. We will execute better but we need to make sure we focus on the material and significant step change opportunity in front of us and make certain we execute these changes flawlessly versus trying to fix aspects of our existing strategy that are flawed in the current state. Our goal at the present time is to build a rock solid foundation for future growth and we won’t compromise on this goal to prop up short-term results. Therefore our annual comp store sales estimate remains unchanged in a range of down 3 to 5 for the year. Accelerating growth and transforming our business is an exciting opportunity. Changes necessary to win are well within our control and there are no structural impediments to our success. While we now know many of the areas where we can improve, we cannot rush. We need to be thoughtful and disciplined as we transform and create a growing platform for the future. That said, today we are taking decisive actions to deliver near-term improvements in two key areas, commercial growth and execution. Allow me to talk first about how we are going to accelerate commercial growth. Our commercial business accounts for approximately 60% of our business and will be an area of growth for years to come. Getting our structure and people right in commercial is foundational to improved performance and position us for longer-term growth and market leadership. As you saw in today's release we named Bob Cushing, formerly President of WORLDPAC to serve in the newly created position of Executive Vice President, Commercial. Bob is going to oversee all of the company’s commercial operations including Advance, Carquest, Autopart International, and of course WORLDPAC. As I look at the organizational structure of Advance today it’s clear we need a unified leader for the entirety of our commercial business. As we consider the leadership skills necessary to accelerate growth, we have to start with the customer therefore we need a leader who puts the customer first always. We need a leader who deeply understands customer service and customer intimacy and finally, we need a leader with a track record for driving growth, improving profitability, and building industry leading capabilities. Fortunately Bob Cushing is the perfect person for the role as he is uniquely qualified to spearhead this effort. Bob is an exceptionally talented industry veteran with over 30 years of experience, has been the driving force behind WORLDPAC's tremendous growth and market leading position. He has a proven track record of delivering results and he is an industry pioneer who long ago recognized the role of technology and e-commerce in better serving customers. Last but not least Bob is competitive. He is going to be relentless on driving out numbers and he will expect nothing less than the best as he instills a high performing culture and ensures we execute and we win in the marketplace. This is a significant first step in the transformative process to leverage all of our assets, to create the leading commercial organization in North America which provides the absolute best service to customers. Secondly, I will comment on the importance of improving execution. Two weeks ago we flattened our organizational structure when we announced our three division field leaders as well as others who will now report directly to me. These changes will facilitate faster, more efficient decision making and I am confident this change will elevate operating intensity, drive greater accountability, and improve execution across the organization. To summarize these actions we’re moving thoughtfully and swiftly to improve the trajectory of our business. In addition to driving near-term performance these changes are important steps in strengthening our foundation for the future. To that end we’re hard at work in constructing a comprehensive five year strategic business plan with a goal of delivering industry leading performance. As we outlined for you last quarter, the focus of the plan is around three value drivers; growth, productivity, and people. We’re excited with our progress and our potential. With respect to growth as I indicated earlier, we’ve conducted a deep dive into the drivers of demand for our business and we’ve collected volumes of customer insights that the organization has never had before. We’re laser focused on customer needs as well as future trends to help guide us on how we position the business for tomorrow. The drivers of demand are key inputs for our growth agenda and will inform us on our holistic supply chain and availability strategy. In terms of supply chain we’re doing considerable work on improving the consistency of part availability, dedicating disproportionate resources towards addressing this massive opportunity for Advance. The goal is clear, get the right part to the right customer at the right time; accurately, reliably, and consistently. We’ll be making changes in how we distribute, assort, and deliver parts to our customers and we’ll do it faster, more accurately, and more consistently than we do it today. We’re testing multiple solutions to address these opportunities and we have several pilot programs across the country to assess alternative strategies to improve product assortment, reduce delivery time, and to reduce inventory. While it is early, our results from the pilots are extremely encouraging and will drive growth going forward. That leads us to our second area of focus, productivity. We’re being a clearly defined productivity pipeline aimed at improving margins and profitability for building new capabilities to fuel our future growth agenda. This includes establishing productivity targets for our DCs, network, fleet, procurement, and stores. We’re looking across our entire supply chain and we’re challenging each discrete cost. We’ve identified multiple projects which will yield savings in 2017 and beyond. In the second quarter we also launched zero based budgeting. I know many of you are familiar with zero based budgeting and the proven track record this approach has had in other companies and other industries. We plan to move as fast as possible on ZBD [ph] for remaining mind fold that we cannot affect service to our customer. In fact the plan is to drive out unnecessary costs, such that we can invest in better service for our customers. I believe the productivity opportunity in Advance is significant, and will fuel our growth for years to come. Finally, people and culture are a major component of our strategic business plan. We’re in the process of developing a comprehensive people strategy to support our business strategy. In Q2 we established HR as a separate function. It was previously combined with our legal team. We subsequently hired a talented and experienced Senior Vice President of HR, Natalie Rothman. Natalie joins us from PepsiCo following a highly successful career there. Natalie and the team are also hard at work developing our people strategy. Specifically we’re making sure that we have the right talent to succeed, the right culture to attract and retain a diverse and high performing team, and the right capabilities to compete at the highest level that differentiate us and to win with our customers. You will hear more about growth, productivity, and people when we provide an overview of our strategic business plan later this fall. With that allow me to turn it over to Mike. 
Mike Norona: Thanks Tom, and good morning everyone. Total sales for the second quarter decreased 4.8% to $2.26 billion principally driven by our comp store sales decline of 4.1%, the store closures we executed in 2015, and the effect of our Carquest consolidations. The declines were partially offset by positive growth at WORLDPAC, our store conversions, and new stores opened. Tom also talked about some of our internal challenges on availability and in certain geographies earlier. In our commercial business the comp store sales declines were more pronounced in our North East and Great Lakes markets. Within DIY, the declines were primarily seen in our undercar, brakes, and wide control categories offset by higher wiper blade sales due to the weather conditions in the South East during the early part of the quarter. Our gross profit rate declined at 110 basis points, was primarily driven by supply chain expense deleverage due to the comp store sales decline and higher supply chain expenses driven by our move to daily replenishment. Our adjusted SG&A expenses were down nearly $35 million versus our second quarter last year. Despite this, our second quarter adjusted SG&A rate increased 17 basis points year-over-year driven primarily by fixed cost deleverage due to our comp store sales decline. We also experienced approximately $12 million of higher self-insurance cost of 56 basis points as we cycled roughly a $7 million insurance benefit from last year versus higher insurance cost this year. These costs were partially offset by lower incentive costs and our continued focus to reduce expenses. All in second quarter adjusted EPS decreased 16.3% compared to last year and adjusted operating income decreased 14.8% to $243.2 million, adjusted operating margin decreased to 127 basis points over the same period last year to 10.8%. Additionally we had a $7.7 million adjustment to our income tax expense related to a GPI income tax audit for time periods prior to our acquisition that inflated our Q2 tax rate. The majority of this adjustment was offset in other income below the operating income as this amount is recoverable under our GPI indemnification agreement. Operating cash flow for the second quarter was $192.9 million versus $330.8 million last year primarily driven by an increase in inventory versus last year and lower than expected sales. The increase in inventory was principally driven by our Carquest consolidations, store closures, new Dallas WORLDPAC DC, and lower than expected sales. We expect to reduce the inventory growth through the balance of the year and expect total inventory at the end of the year to be up low single-digits versus last year. Our adjusted debt to EBITDA was 2.5 times at the end of the quarter and remains within our maximum stated leverage ratio target of 2.5 times. We continue to be focused on improving our business performance while preserving our investment grade ratings. While we have not provided an annual EPS outlook, we did however want to give you some context to how we are thinking about the back half. Based on our current sales outlook we expect continued fixed cost deleverage of our SG&A and supply chain costs and are making some investments to improve our service and availability. Additionally as we reduce our inventory in the back half of the year as part of our ongoing efforts to improve our inventory productivity, we expect to experience gross margin headwinds driven by the expensing of previously capitalized supply chain cost. With that let's open up the call for questions. Operator?
Operator: [Operator Instructions]. The first question is from Simeon Gutman with Morgan Stanley. Sir, your line is open. 
Simeon Gutman: Thanks, good morning Tom. The guidance last quarter negative 3 to 5 for this period, it seemed like you started out pretty negative I guess maybe at the low-end of that range. I grant the negative 4 is not that much of an improvement, just curious if things did get a little bit better or are they variable throughout the quarter and realize in the context of negative 3 to 5 for the rest of the year doesn’t sound like much improvement but curious if you can talk about if North East at least has gotten a little better post the end of the quarter?
Tom Greco: Hey, good morning Simeon. First of all if you step back and look at our performance over the last 40 weeks, it is in the down 3 range so when you look at going forward I would say we are conservative with the down 3 to down 5. We finished better than we started but we are still working through a lot of things inside the company. We swept the P&L every Monday, we look at the execution metrics that matter, we are making some progress on those metrics. So, clearly I am feeling like some of those things are moving in the right direction but at the moment we feel it is important to be conservative with that guidance at the moment and that’s where we are. 
Simeon Gutman: So my follow up is, it sounds like the business is still paying the price or just suffering from some of the integration things that have happened over the past year. I know a year ago we talked about the business might be at its maximum pain point and granted you weren't there at that time and there is a lot of change but I am curious why if there were fixes that were made to let's say address some of these issues, why things are getting worse, could it be a sign that customers giving up on the business or is it just going to take a lot longer for you to dig out of some of these setbacks?
Tom Greco: There is obviously a lot to your question. I mean we’re building a strategy that we feel can win over the long-term. That strategy is going to incorporate the work that we had done on the integration. So it’s a very comprehensive business strategy that spans the growth agenda, it has a very robust productivity agenda. It is going to align the people and culture behind the business strategy so we’re building that strategy out. I think the performance that we’ve had so far is reflective of a strategy that really hasn’t been as comprehensive and holistic as the one we are going to have going forward. And the execution against that strategy was not where it needs to be candidly. So we’re confident that we have a strategy going forward but where we are now is we are still trying to address some of the fixes from the previous approach. 
Simeon Gutman: Okay, thanks. 
Operator: Thank you. The next question is from Seth Sigman with Credit Suisse. 
Seth Sigman: Hey guys, thanks, good morning. My main question relates to the store and consolidation strategy. The consolidation of Carquest, it went from a benefit to a negative in the quarter, can you elaborate on what changed with the strategy and why that reversed and if there is a way to quantify how much of a negative that was to the quarter that would be helpful?
Tom Greco: The consolidation programs themselves, the CCR itself we’ve taken a step back step from those and we’re looking at what elements of the CCR initiative actually worked in our favor and which ones were not necessarily lined up behind the original estimates that were done. And we have pluses and minuses there. Consolidations, we didn’t really hit the goals that we set for ourselves in consolidation so we have stepped back on that one and we have reduced the number of consolidations that we have going forward. Other aspects of the CCR strategy have worked better than we anticipated and we’re accelerating those. So we’re looking very carefully at that and that will be folded into the broader strategy going forward.
Seth Sigman: Okay, thanks and then Mike you mentioned some investments and service unavailability planned for later this year. Can you elaborate on that and maybe help quantify it? Thanks.
Mike Norona: Yes, we’re looking at the fourth quarter Seth in terms of how do we make sure we ramp up the top line. We really need more growth as you saw in the quarter. The deleverage was the single biggest driver of our profit shortfall and obviously we’re focused on retaining momentum on the top line and with our customers. We’re making very selective investments and how we drive the top line and that spans across multiple different lines. I am not going to get into specifics but we feel really good about our ability to stimulate more growth in the fourth quarter.
Seth Sigman: Okay, thank you.
Operator: Thank you, our next question comes from Matt Fassler with Goldman Sachs. 
Matthew Fassler: Thanks a lot and good morning. My first question relates to daily replenishment and it seems like the execution of that strategy was a big challenge for you during the quarter both sales wise and cost wise. Can you try to dimensionalize for us the impact, how many stores or percentage of the chain made that shift, what kind of dollar excess on the distribution cost side that is did you see as a result of this process not going quite the way you wanted?
Tom Greco: Obviously Matt, our customers trust us to have the right part at the right time and that means making sure we’re delivering high quality great value parts accurately, reliably, and consistently and when they need them. So that’s the goal. Our customers really don’t care how we get them the part as long as we get them the part when they need it and that’s an important learning we’ve had. Replenishment delivery frequency to the stores is just one element of the supply chain. It is not the goal itself. So we’re looking carefully at our entire supply chain and how to provide the absolute best solution for each store and it’s customers. And we are making sure that every aspect, whether it is the fill rate from our DC, the quality of our assortment in the market, the order accuracy, the consistency and speed of our delivery throughout the supply chain are grooved. And we had some markets as you referenced, where we moved a little bit too quickly to a solution that didn’t make sense for those markets at that time. And it did impact our profit flow-through in the quarter. We have addressed that immediately. In fact we are beginning to see some progress already from the actions that we have taken in those markets. I am not going to get into specifics on the number of stores or DCs but they were in the North East and Mid West and we have taken the appropriate actions there. 
Matthew Fassler: That is great and my follow-up question relates to customer relationships. I think there was a question that alluded to this earlier and we are getting a lot of questions on it. that are concerned about the permanence of potential share loss given the stickiness of commercial relationships, is there any way to quantify customer defection, customer losses obviously from a - the same store sales are under pressure, is that reduction in sales per customer, is that a reduction in customer count on the commercial side, just to get a sense as to decomposing out of that sales decline on the commercial side and thinking about how easy it is to win some of that business back or not?
Tom Greco: Well I have been around customers for 35 years and I can tell you that it is a very dynamic situation with customers, you are either getting better with those relationships or you are getting worse. And I can tell you we are going to get better. We put Bob Cushing into that big role today overseeing all of commercial. He is maniacally focused on customer service and getting the right part to right place to the right time. I have tremendous confidence that we will build those relationships back. We are focused on all aspects of the customer agenda, how many customers we are picking up, how many we are losing, whether we are gaining share inside each customer. So all of those aspects are being considered at the moment Matt and we do have to build the execution muscle inside of Advance so that we make progress against that. I am pretty confident that with Bob’s appointment we are going to really start to make material changes on that. 
Matthew Fassler: Thank you so much. 
Operator: Thank you, our next question is from Chris Bottiglieri with Wolfe Research. 
Chris Bottiglieri: Hi, thank you for taking my call. Quick question on the distribution strategy, a while back you had alluded to some mega hubs that you were introducing. Just trying to figure out where that kind of fits into your strategy going forward, kind of preliminary result to me have seen and how those may differ from the PDQ facilities you have used in the past?
Tom Greco: Well, I am really stepping back Chris on the supply chain in total. We want to look at every aspect of it. We are working through this transition as Bob comes into commercial. We want to make sure that we are focused on the right metric. So, I mean everything is on the table in terms of how we support the supply chain. We need to transform it and make it much more customer friendly so that we are delivering the part when the customer needs it. So, you will hear more about that in the fall but it is really more of a holistic approach to the supply chain than we have had in the past. 
Chris Bottiglieri: Okay, then one brief follow-up kind of related. You seem very metric driven, accountability focused, can you talk about how that kind of fits into compensation plans. I think the previous management team had alluded to test some markets to change the compensation structure, can you maybe just talk about how that two relate and kind of how you look at that going forward? Thank you. 
Tom Greco: Yeah, obviously critical. We want to make sure that once we have got alignment to the strategy and we picked the right metrics to drive against that strategy the incentive systems are directly lined up against those. So, that applies up and down the organization alright, Chris. We look at the Senior Executives team and whether those metrics are lined up to deliver, sorry, the incentives are lined up to deliver the metrics right down to the front line organization. And we want to make sure that people are incented to go after the metrics that matter the most. And I think in the past we did shift around a little bit in terms of what we challenged our large field organization to do and we want to get really grounded on a very small, limited set of metrics for them to focus again and we will incent them and reward them for achieving those goals.
Chris Bottiglieri: Okay, great. Thanks a lot and good luck with the turnaround. 
Operator: Thank you, the next question is from Michael Lasser with UBS. 
Michael Lasser: Good morning, thanks a lot for taking my question. So, you outlined several factors that are going to pressure your profitability in the back half but also sounds like sales remain pretty sluggish. So how should we think about your margins in the third quarter and the fourth quarter particularly in that last quarter of the year where you can be facing a very easy comparison. So are your margins going to be down year-over-year in both of those quarters?
Mike Norona: Hey Michael, good to talk to you. No, I think Tom laid it out well. Our focus in the back half is improving our service and our availability and getting that top line going. So I’d say there are three drivers is how we’re thinking about the back half. We’re not giving an EPS annual outlook but I did give you a little bit of context that would be helpful to how we’re thinking about the back half of the year financially. Based on that down 3 to down 5 for the full year, we’re going to continue to see SG&A and supply chain deleverage. Our model needs sales and with an 80% roughly fixed cost model you just deleverage. That will be the largest driver of our operating margins in the back half. Second of all we are going to make investments in service and availability that Tom talked about earlier and then third is we’ve got as we and you could see our inventory in the second quarter was up 7.3%. We are planning on our inventory being up low single-digits by the end of the year. There is some capitalize supply chain cost that will be a headwind as we go into the back half of the year. So those will be the three drivers. So yes, we would anticipate some strain on our margins but that’s all I am going to say because we’re not giving an EPS annual outlook. 
Michael Lasser: Understood, Tom now that you have had time to digest and diagnose the company’s problem, how long do you think it is going to take to generate a positive comp?
Tom Greco: We’re obviously not giving a specifics beyond the balance of the year on the comp but I am pretty optimistic that we can accelerate our sales going forward. I think the idea of really getting this entire organization focused on the customer Michael, is going to benefit us. I can feel it when I go out into the field. People want to win. We’ve got great leaders that run our field organization. The general managers want to drive the top line. They are very competitive. They just need the tools to go out there and get it and we have to enable that by looking carefully at our supply chain and figuring out how to do a better job getting them the part they need when the customer wants it. So we’re optimistic about this. Very optimistic we can drive the top line. I can't give you a specific timeline but we are making a lot of progress on the things that need to be done in order to accelerate growth.
Michael Lasser: Tom, maybe another way to ask it is if you look back in the second quarter in your mind do you have a sense for how much of the comp decline or the underperformance was due to self inflicted factors and how much was due to weakness in the market particularly in the geographies that Advance Auto is levered to?
Tom Greco: You know I think if you look at our comparative performance you would say the majority of it is self inflicted, right. I mean just look at the relative performance. I mean we -– our goal is to perform above the top performers in the industry. So for us to do -- to achieve that’s a significant gap. There was some geographic softness which has been called off by others. But relatively speaking it’s a small percentage of our opportunity. As we start to improve on some of the basic metrics that are important to execute against it in the marketplace we can grow significantly.
Michael Lasser: Very helpful, thank you so much. 
Operator: Thank you the next question is from Ben Bienvenu with Stephens, Inc.
Ben Bienvenu: Yes, thanks, good morning. You talked a lot about improving availability in service levels. I am curious, as you look across the industry and in places where you are winning back share, is it purely on account of availability and service levels or maybe said in another way given the level of service of some of your peers do you think that’s solely enough to win back share that you've lost or do you see it more as a story of winning share from the consolidation of the industry and indefinite operators in the space?
Tom Greco: Ben, we did a pretty deep dive as I mentioned in the prepared remarks on what matters most to our customers, whether that’s on the commercial side or on the retail side. And we have got a pretty clear idea of the table stakes that matter the most. We have got an idea on specific jobs in terms of where we can make a difference. So it is obviously not as simple as I am describing it but getting the right -- in the right place is really, really foundational to success. And we have not done as good a job on that as we -- as some of our competitors candidly and we have got to elevate our gain there. So we are very focused on solution that will enable us to do that. And we have got some very, very promising pilots that we are testing out there in the marketplace. They are giving us confidence that going forward we can provide solutions that are as good as or better than our competition out there in the marketplace. 
Ben Bienvenu: Understood, and then looking at the balance sheet a bit, AP to inventory ratio ticking down a little bit, I will be curious to get your sense of in the backdrop of some of the changes that you are making, what you expect the opportunity to look like there and can we think about that as another lever to pull to improve shareholder returns over time?
Mike Norona: Yeah, absolutely. And Tom talked about it, I mean improving our working capital is another large opportunity and it will be a byproduct of our improved performance. So, and I would say there is two big drivers; one, as Tom has talked at length about the need to improve our performance and that would drive free cash flow and that will drive obviously an ability to return back to shareholders. The second biggest opportunity we have and the opportunity that drove our AAP ratio little bit lower than last year was our inventory management. And there is a very large focus around that. Tom talked about it in his remarks. We are going to see in the back half some of that movement happen as we move through the transitional inventory particularly in our Carquest brand of stores from the consolidations we have done on the closed stores. Obviously at our AAP brand of stores there are going to be some improvements there. We are making investments in availability and we have got some new stores but also we are getting more productive with our inventory and we are looking at areas that we can get better in AAP. And then the third one is WORLDPAC. One of the drivers of our 7.3% increase was WORLDPAC and WORLDPAC's inventory growth was up about 15% and the reason is that we have got a new Dallas DC for WORLDPAC. So, what we anticipate is inventory management is going to be a big driver of the opportunity to improve the free cash flow and as you return and obviously the return back to shareholders. 
Ben Bienvenu: Okay, great, thanks so much and best of luck. 
Operator: Thank you, the next question is from Seth Basham with Wedbush Securities. 
Seth Basham: Thanks a lot and good morning. My first question is just if you could give some more detail on the relative performance in terms of basis points gap between the North East and Great Lakes versus the rest of the chain?
Tom Greco: Seth, we had a big gap. There is no question about that and I mentioned the challenges that we had in some of those distribution centers up there that really hurt our business in the short-term that we have corrected. So, the gap is pretty sizeable. I am not going to give you a specific number but it was a pretty sizeable gap in the quarter and I am confident that changes that we have just initiated, in fact we just reviewed the performance in the first week yesterday. We are confident that we are going to make some pretty big progress up there. 
Seth Basham: Okay, that is helpful. And then secondly you are making a bunch of changes to investments you are talking about. As you look forward to 2017, obviously without providing any guidance, would you expect your operating margins to rise versus 2016 or do you think there will be investments that will offset those improvements?
Tom Greco: Well, obviously over time the market expansion opportunity is massive here. There is no question about that, I haven’t talked on the Q&A much about the productivity agenda but I am really excited about the work we are doing on productivity. We are going throughout our entire organization bucketing the cost the way that I feel we need to in order to get at the discreet real productivity opportunity, sustainable multiyear productivity opportunities that are out there. We are leading that throughout each function. We have got a cost base that we have laid out. We have got targets for our distribution centers, distribution centers to stores, inside the stores, stores to customers. We are very focused on zero based budgeting. All of those things will give us sustainable margin expansion opportunities and also enable us to invest back in growth. So, there is little doubt in my mind that we will expand margins overtime. I think it is early for me to say whether that will happen in 2017. We should be in a position to talk to you about that sometime in November once we have finished our strategic planning process and we sequenced our investment profiles and got ready for all of those tradeoffs right that need to be made between top line growth and productivity. 
Seth Basham: Good, look forward to it. Thanks a lot. 
Operator: Thank you, the next question is from Scot Ciccarelli with RBC Capital Markets. 
Scot Ciccarelli: Good morning guys. I know you have had a bunch of questions around this but when you do think about that margin expansion opportunity I think you just used the word massive from a productivity improvement, etc. But Tom you’ve also mentioned investments need to be made so when you think about kind of 2017 versus 2016 can you provide some color on how you guys are thinking about the margin profile, just call it one or two years out like what is the general cadence is going to be even if it is not specific numbers?
Tom Greco: Sure, first of all Scot, when we think about constructing the productivity pipeline that I just described we obviously want more than just necessary to expand margins. So we’re targeting to have enough cost takeout that we can invest back and expand margins at the same time. So we have to self fund our growth and given the first pass we have had on this we’ll be in a good position to do that in 2017. The question is how much investment is going to be required to stimulate the top line in 2017 but overtime we’ve done the five year. There is no question that we can build this business with sustainable top line growth and expand margins at the same time. 
Scot Ciccarelli: Okay, that’s helpful and then one other thing I think you mentioned on the last call was you are out meeting with a lot of vendors who some of that lean vendors in the community can you just share the general feedback that you have had from the vendors that Advance tried to kind of rework how it’s historically worked with that vendor community?
Tom Greco: Sure, we’ve had really good discussions with our vendor partners. They are central to our success over the long-term. We’ve had several meeting with them, we got several meetings coming up with them. They’re all in, they really want to be part of a growth story within the industry. I mean I think from their standpoint they look at us as perhaps the biggest growth opportunity they have. So, we are spending a lot of time with our vendors and they are working collaboratively with us on solutions that can help differentiate us in the marketplace. 
Scot Ciccarelli: Got you, alright, thanks guys. 
Operator: Thank you, the next question is from Matt McClintock with Barclays. 
Matt McClintock: Yes, good morning everyone. Tom earlier you said -- you talked about consolidations, you mentioned historically that it hit the goals and you've reduced that plan going forward. Have you ever given any of us size of that reduction? And just as a second question on that, previously you were decided to consolidate some stores, what does that mean about the profitability profile of the stores now that you are not going to consolidate them? Thank you.
Tom Greco: Well in terms of the versus what we originally planned, I think we ended up roughly two thirds is where we ended up in terms of the go forward strategy, in terms of what we originally. We originally planned x number of stores and we probably have about two thirds of that. So essentially we have stepped back and looked at the performance and candidly as we went through the process the first stores we did were stronger than the more recent ones. I mean that’s a reality of it. You cannot go to the ones that are let's say the lowest hanging fruit from the beginning. And then as you move along the business case, the economic case isn't as attractive and when we are giving back significant amount of market share the tradeoff on profitability just isn't worth it over the long-term. So I think that’s where we ended up. 
Matt McClintock: Thank you very much. 
Operator: Thank you the next question is from Kate McShane with Citi Research.
Christopher Lane: Hi, this is Chris Lane on for Kate. Regarding the slipping acquisition with the replenishment, can you quantify how much you take this cost you in comp and also on the integration side can you also quantify the sales transfer rates that you are seeing from consolidations and with sales retention in the converted stores?
Mike Norona: First of all on the would it cost us in the stores impact I am not going to give you a specific number Chris but it was a significant number. We moved rapidly, we challenged our team to get something done that was very difficult for them to do. And in the end I mean I spent a lot of time in those DCs in the marketplace with those general managers and they dealt with a pretty tough set of circumstances for a period of time. So, our ability to correct that for them which as I mentioned earlier we have just done is a welcome change. And we had just a great discussion about it yesterday. I am very excited about how the team feels about it because we did respond to something that was important to them. Can you repeat your second question again, I want to make sure I understand it.
Christopher Lane: Yeah, it is just on the consolidation side, what you are seeing on the sales transfer rates from consolidated stores in the existing market and the stores are looking good I guess, what kind of sales retention are you seeing in those stores?
Mike Norona: Yeah, the converted stores we are pretty excited about. I mean we have seen some nice growth on the conversions and in fact those we have actually increased. The consolidation source, we had a percentage of sales that we wanted to retain going into it. We started the flip below that percentage and that is why we pull back on it. 
Christopher Lane: Okay, and just a quick one, in the past you have mentioned some impacts are retaining talent as a result of the merger and other factors, has that improved in recent months then, I guess how are you approaching the retention of talent?
Tom Greco: Yeah, we are all over retaining our top talent. There is nothing more important in this company than the front line organization that faces our customers every single day out there in the marketplace. And I am really proud of the way our team has rallied against this issue. I mean a couple of months ago we declared a crisis in this area and we have got very focused on how are we going to retain our general managers, our commercial parts pros, our commercial account managers out there in the field. And we have actually started to see positive performance year-on-year on retention. So, you can count on us to be very focused on our front line organization. It is incredibly important for our business. They have to face our customers day in and day out and we are going to do everything we can to enable them to succeed in the marketplace. And that includes giving them the tools, the training, the technology, and the incentives to go out and win in the market. 
Christopher Lane: Alright, thank you. 
Operator: Thank you, the next question is from Mike Baker with Deutsche Bank. 
Michael Baker: Thanks, so in some of your customer survey work I am wondering, so obviously availability is most important, how important is price to customers and then can you square the answer there with some of the investments you said you are making in the fourth quarter, how much of that and even into 2017 how much of that investment is going to be in price to drive demand and again how does that rate to what the customers tell you they place the importance on price?
Tom Greco: Yeah, it came up. I mean, I am not going to skirt that one Mike. I mean value is important. You can't ignore value. At the same time I think you have heard from others, it isn’t the number one thing that comes up. It is on the list but it is not on the top couple of things that are important for them. So, we can't ignore it. So, they have to look and we just did this yesterday. And we go category by category, part by part. We benchmark versus competition, we look for opportunities surgically. But we are not looking at some kind of broad-based pricing action as a company. The investments that we need to make are going to be made to identify quality of our assortment, our fill rate, our order accuracy, the consistency of our delivery, our overall service proposition to the customer. That is where we are looking at making investments.
Michael Baker: Okay, thanks. That is helpful. Just as a follow-up to some of the other comments that you have made, so in the Great Lakes and the North East you have changed some things around and things seems to be getting better. My sense is you are not going to quantify that for us but is there any way to dimensionalize it if things going from negative cost to positive cost or anything along those lines where we have made those improvements, something to sort of point to what the -- possible could be over the current quarters?
Tom Greco: Well that would be quantifying it I think. But I will try to answer that, I mean we are definitely seeing improvements, okay and based on where we were I think we should see pretty substantial improvement in those stores that were impacted. Keep in mind it is not a huge number of stores across our network but in the stores that experienced some of those difficulties they should see a substantial improvement in their performance. 
Michael Baker: Okay, thanks for the color. Appreciate it. 
Operator: Thank you, our next question is from Greg Melich with Evercore ISI.
Michael Montani: Hey guys, good morning, it is Mike Montani on for Greg. I just wanted to ask if I could Tom, can you talk about last quarter you guys had said 260 million to 280 million of CAPEX, can you just provide an update there and then as we move forward the next few years, how are you all thinking about what that number could become if you were to do all the different initiatives that you have potentially untapped?
Tom Greco: Well first of all Mike we’re right smack dab in the middle of our strategic planning process and we’ve had a couple of discussions with our Board on this topic. We’re continuing to narrow the list of priorities that need to be done, sequencing them appropriately over the strategic horizon. CAPEX is essentially an output of all of that work. So at the moment we’re really not in a position to say where we’re going there. We’re looking at multiple places to drive value for the corporation, that includes across our supply chain, information technology, new store openings, geographic expansion. All of those things are on the table but eventually we’ve got to narrow that list and come up with the most appropriate mix of growth related capital, productivity related capital, information technology, and we have not completed that yet. So the working hypothesis is kind of continuing with the number that you had, that’s what we are working with at the moment but it is more to come. 
Michael Montani: Okay, great and then if I could just follow up for the quarter, can you provide any incremental color about traffic versus ticket split on the negative 4 and then also just on store growth and square footage growth for the back half of the year how should we think about consolidations and closures versus new openings?
Tom Greco: Well first of all I mean you have to split out the outlier commercial. But broadly more of a traffic issue than a ticket issue at the moment. And on store growth in the back half we’ll have to get back to you on that one, I don’t have that right off the top of my head. 
Michael Montani: Okay, thank you. 
Operator: Thank you the next question is from Dan Wewer with Raymond James. 
Dan Wewer: Thanks. Mike, you reminded us that you’ll have higher capitalized supply chain cost in the fourth quarter as you began to draw down your inventories, will that headwind continue through the first three quarters of 2017 until you anniversary the inventory reduction?
Mike Norona: No, not necessarily, Dan. I mean, it really depends because we haven't given the outlook for 2017 I mean the big driver obviously in the back half of the year is we’re going to see a significant fall off. Typically our inventory growth and lead down is a little bit smoother but we’re with the moves we’re making in the back half of the year and again they are very planful. But I can't say that because really our plan is to get a big driver of that is the sales. So as we start to position ourselves and when we give that outlook on how we’re thinking about 2017 we’ll be in a better position to give you a holistic picture because there is other things that impact that.
Dan Wewer: I was just thinking with the Unicap accounting rules for inventory that would be the headwind because you would have pure units but you say that may not be the case? 
Mike Norona: Yes, that may not be the case, you are correct. I mean obviously as you continue to bleed down the inventory with lower sales yes, that will be a headwind especially if your supply chain cost are increasing. But our plan is to get the top line going, get rid of some of this inventory that’s transitional, and then obviously we’re going to be buying inventory. And as Tom said we’re going to be improving the efficiency of our supply chain. So there is a lot of moving pieces there.
Dan Wewer: Tom, I want to follow up with you on the consolidations. So what happens going forward if there is a Carquest, the company owned Carquest store and an Advance store in the same market but you decide not to go down the consolidation path, are you thinking about a dual branding strategy in that same market and the reason I am asking because I thought the original plan was to only use the Carquest brand in the independently operated locations?
Tom Greco: Yes, we’re still not complete in our assessment of that Dan. Obviously the independents which are critical parts of our business and one that potentially we see further opportunity to grow going forward, we have got a great group of independent operators out there who operate under the Carquest brand and we want to continue to drive growth with. That’s going to be central to our strategy but we haven't aligned on the role of the two different brands as we go forward. We’ve got some markets where it’s exclusively Carquest. As you know we got others where it’s exclusively Advance and where we have the two of them. We do believe that we can have them coexist in the same market, we just got to figure out how those two banners can operate in a way that are incremental and play a different role, and that’s where a lot of the work that we have done on demand and the specific jobs that are relevant to our customers. We can focus Carquest on a certain part of the business, we can focus Advance on another part of the business and make sure that it’s incremental for the company. That’s the trick in terms of making sure that they work together. 
Dan Wewer: You also noted that you were right in the middle of the strategic planning process and you also had multiple pilots for a supply chain changes that you are testing as well. How long do those pilots need to continue before you can finalize your strategic plan, I think you mentioned November but I was thinking it would take longer than that to analyze the results?
Tom Greco: We’re going to move fast. We’ve got the pilots in flight as we speak. We do have phases to the pilots and we are working against those phases but we’re obviously going to take the learning's from the pilots and the ones that can be applied immediately and leverage those. Other aspects are going to take longer but the pilots are really exciting for us. I mean their design to at the same time provide greater availability for our customers improve the quality of the assortment and make sure that we’re delivering parts faster and most more consistently to our customers while we’re taking cost out of our supply chain and reducing inventory. So it has really the triple benefit of doing all three. We’re measuring against a very, very detailed dashboard that looks at all of those metrics in tandem. And we’re iterating as we go but the early results are very good. So I feel like we can move faster than perhaps you may have indicated. You won't be able to role everything out at once. I mean again given its phase once we get past the first checkpoint there is other things that we want to explore. But I guess what I am saying is, you go through the first phase of a pilot, we can roll that -- those aspects that make sense into the marketplace and then test phase two as we go. 
Dan Wewer: Would you ever be comfortable having one distribution facility supporting WORLDPAC, Advance and Carquest and perhaps AI as well?
Tom Greco: Well clearly the move with Bob today is designed to really look horizontally across our organization, commercial organization. I don’t think that we’re going to get to that particular dimension right out of the gate but we are going to look at it. Clearly on the customer side we’ve never had a holistic strategy between Advance and AI and WORLDPAC. We’ve had multiple organizations going out there selling to commercial customer admittedly with different products. But as import vehicles are growing, private label is becoming increasingly important which is Autopart International specialty. We do see an opportunity to look across and clearly leverage some of the capabilities more broadly. On the supply chain itself, I mean I think there are elements of the supply chain where it could make sense. As an example we have an Advance store close by here the office that gets eight deliveries a day from the WORLDPAC branch and yet we’re also delivering from the Advance store going to the WORLDPAC branch. So integrating the transportation management systems of those supply chains can help us reduce cost and be more efficient. And there is many other things that Bob is going to look at. So we are very excited about this change. Bob is a terrific leader. He has got -- they built this online capability out there in WORLDPAC that is really as good as anybody in the industry. And with the growth in online coming up in the future years, our intention is to leverage their online and ecommerce capabilities more broadly across Advance. 
Dan Wewer: Okay, thank you. 
Operator: Thank you, the next question is from Bret Jordan with Jeffries.
Bret Jordan: Hey, good morning guys. Quick question, I guess as you are talking about the IT and the pilot programs have you stopped rewriting the APEX [ph] system and are sort of evaluating how you’re going to consolidate the systems behind distribution or are you still sort of looking for one common backbone to that? And I guess a piece of the same question, where are you on point of sale consolidation and then the read through, you talked about North Eastern and Mid Western supply chain problems in the quarter, are those around the DCs that run Red Prairie or is that something different?
Tom Greco: Well first of all on APEX we just had a review on Friday. We’re making some really good progress there. Our field team members are at several stores Bret. They are up and running in the pilot with any change and when you’re talking about a change to your catalog and how people work every single day it does take some time to make sure that it’s absolutely performing on a level that our people love it. And we still got some work to do there. So the short answer on APEX is it’s proceeding along the timeline that we had but we want to make sure when we roll it out that it is really driving our top line and the efficiency of our team members. And we’re continuing to refine how we approach the APEX roll out because we want to make sure that it is absolutely group when we roll it out. We’re continuing to work through the POS consolidation. Essentially that continues on the timelines that we’ve talked about there. I don’t know that it was entirely Red Prairie related in the North East, it’s a factor. But there is just not Red Prairie, there was other distribution centers impacted that do not use Red Prairie.
Bret Jordan: Okay, thanks and then one follow up question, you talked about some of the high profile branded parts that have been taken out of the merchandise mix possibly coming back, could you give us any color sort of where we are on sort of how you think about some of the branded products that were important to commercial customers?
Tom Greco: You know Charles and his team are doing a pretty thorough review of where we are on hard parts and how we benchmark versus our competition. For the most part we feel pretty good about our assortment but we are looking at some things that -- we actually got the meetings coming up next week on this topic. So there is nothing specific to report right now Bret, but we are you know look very closely on our hard part assortment because we’ve got to have something that is competitive across every single category.
Bret Jordan: Great, thank you. 
Operator: Thank you, the next question is from Caroline Jolly with Gabelli.
Caroline Jolly: Oh great, thanks for taking my question. So I guess in regards to WORLDPAC I know a couple of quarters ago you mentioned some cannibalization in comps in one of the branches or DCs, is there any more or do you have any details on relative WORLDPAC comps year-over-year or any deceleration or acceleration?
Tom Greco: Just to clarify when you say cannibalization what are you referring to sorry?
Caroline Jolly: So when they open some of the new branches initially I think they also mention that that some cannibalization from branch to branch?
Tom Greco: Branch to inside WORLDPAC. 
Caroline Jolly: Yes, right.
Mike Norona: So let me hit that. So, first of all at the highest level WORLDPAC had a -- continue to grow their business and I think we mentioned it in our remarks they were one of the bright spots in the quarter for us. So they continue to grow. And then in terms of cannibalization, I think it’s a little bit different for a commercial only business when they all open up a -- because almost 90% of their business is controlled by a systems, meaning their customers order online. When they actually open another branch they actually move those customers that were serviced out of one branch and they move them to another branch. So they actually –- so cannibalization is actually -– they are actually changing their systems. So we don’t view that as a bad thing. What typically happens is when they open up a new branch that was close to where another branch was, they see cannibalization of the original branch because they deliberately move the customers because they can give them better service by servicing amount of a new branch and then what happens is both branches grow. So the cannibalization is if you look at their total growth and I think that’s a better way to view the WORLDPAC business, their total business is growing as they are opening up new branches. And that cannibalization if they see in the original branch that just grows back as the businesses grows back and it actually grows back strong in both branches. 
Caroline Jolly: Great, thanks for detailing and just to make sure I understood what you said initially, did you mention or were you able to say if there was some acceleration in the WORLDPAC growth?
Mike Norona: They had -- I did see acceleration but they had another -- they were one of bright spots for us in the second quarter and their top line grew for the last year.
Caroline Jolly: Great, thank you. 
Operator: Thank you, our final question today comes from Craig Kennison with Baird. 
Craig Kennison: Thanks for taking my question. Tom you opened three super hubs in Atlanta in June, is that an all representative of the type of DC investment you want to make on a national basis?
Tom Greco: Well, Craig we are -- again we are stepping back on the supply chain, right. I mean we have a number of things that were implied before I got here. But we are really looking carefully at how to transform our supply chain in future fit of that structure for the marketplace that we see is going to happen in the future. And I think the things that we have done there will be many things that we incorporate into that overall growth strategy. Some of them we won't. So, it is just a question of is Atlanta what we are going to do, the answer is I don’t know yet. Because we are having stepped back on the whole strategy that we have had, because it hasn’t produced the kind of results that we desire to have. There will be elements of things that we have done that we will incorporate in but we are testing some new and very different approaches to how we service our customers and efficiently get product to the marketplace. So, aspects of it yes, but it is specifically Atlanta, I don’t know yet. I am not sure. We are going to have that laid out in more detail as we get into November. 
Craig Kennison: Thanks, and then with respect to the deep dive survey you mentioned, do you have any sense of how often your customer that is not choosing Advance today, how often that customer is choosing a national competitor that maybe hard to displace versus a smaller competitor over what you would seem to have a scale advantage if your service levels are improved?
Tom Greco: Yeah, the answer to that question is yes. We do. 
Craig Kennison: Got it, thank you. 
Operator: Thank you. At this time there are no further questions. I will turn the call back to Tom Greco for any final comments. 
Tom Greco: Okay, well thank you everyone for joining us. Q2 was a difficult quarter for sure but we do know the issues. I want to reinforce that the issues are absolutely fixable. There is no structural impediments to us addressing those issues. I feel great about the progress that we are making and I couldn’t be more excited about our future. You can count on us to dramatically elevate our focus on the customer and the top line, to transform our supply chain for the future. We are going to dial up the intensity against our execution and we will have a robust productivity pipeline. The Board and the leadership team are aligned and prepared to take decisive actions and really create the value we need for shareholders over time and we are eager to get back to work and look forward to sharing our progress with you later in the year. So thanks for joining the call and this concludes the call for today. 